Operator: Welcome to the global conference call of Daimler. At our customer's request, this conference will be recorded. The replay of the conference call will also be available as an on-demand audio webcast in the Investor Relations section of the Daimler website. The short introduction will be directly followed by a Q&A session. [Operator Instructions] I would like to remind you that this teleconference is governed by the Safe Harbor wording that you find in our published results documents. Please note that our presentations contain forward-looking statements that reflect management's current views with respect to future events. These forward-looking statements can be identified by expressions such as, assume, anticipate, believe, estimate, expect, intend, may, plan, project and should. Such statements are subject to many risks and uncertainties. Examples of which are set out in the Safe Harbor wording in our disclosure documents, and are also described in our risk report in the Daimler annual report and in the most recent interim report. If the assumptions underlying any of these statements prove incorrect, then actual report may be materially different from those expressed or implied by such statements. Forward-looking statements speak only to the date on which they are made. May I now hand you over to Bjorn Scheib, Head of Daimler Investor Relations? Thank you very much.
Björn Scheib: Good afternoon. This is Bjorn Scheib speaking. On behalf of Daimler, I would like to welcome you, on both the telephone and the Internet, to our Q3 conference call here in Stuttgart. We are happy to have with us today, Bodo Uebber, the CFO of the Daimler group, and in order to give you maximum time for your questions, Bodo Uebber will begin with a short introduction, which is directly followed by a Q&A session. With this, now I would like to hand over to Bodo Uebber.
Bodo K. Uebber: Thank you, Bjorn, and good afternoon, from me too. At the beginning of the year, we outlined to you our expectation that sales and EBIT would be stronger in the second half than in the first half of the year. Our third quarter results show that our past investments are paying off and that the company is well on track. Our product lineup and the success of recent product launches were the main drivers of the improving sales dynamic. In addition, the ongoing efforts across Daimler to improve efficiency [indiscernible] and contributing to the positive profit development. Revenue in the third quarter increased by 5% to EUR 30.1 billion and EBIT from ongoing business by 15% to EUR 2.2 billion. EBITDA and profitability of all industrial divisions improved compared with the third quarter of last year. MBC reported return on sales of 7.3%; Daimler trucks, 6.5%; Mercedes-Benz Vans, 6.7%; and Daimler Buses, 5.2%. Return on equity Daimler Financial Services came in at 19.3%. The profit at Mercedes-Benz passenger cars was slightly better than we had assumed at the end of the second quarter. We were able to realize improvements from Fit for Leadership already in the third quarter, which were planned for a later date. Additionally, sales increased somewhat better than expected. Net profit was EUR 1.9 billion, which translates in an EPS of EUR 1.72 in the third quarter. It was positively impacted by the strong results and some tax benefits due to tax assessments of prior years, which had no cash impact. Industrial free cash flow in the third quarter came in at EUR 1.6 billion, mainly driven by the positive earnings development. The industrial net liquidity stood at a comfortable level of EUR 12.6 billion at the end of September. Over the previous quarters, we have been talking a lot about the main drivers of our profitability: slightly recovering markets, the renewal of our product portfolio and increasing benefits from our efficiency programs. Let's have a brief look where we clearly stand on those counts beginning with markets. Global passenger vehicle markets continued their growth path, supported by the United States and China. Meanwhile, the European markets showed a stabilization in registrations after 7 quarters of decreases. Overall, the underlying market environment became a bit more supportive on the passenger cars vehicle side, but Western Europe remains at a very low level and continues to be highly competitive. The picture in the trucks markets was rather mixed. The North American market showed no upward dynamic and remained below the previous year. Positive developments in Western Europe were mainly driven by purchases being brought forward in connection with the upcoming introduction of Euro VI emission regulations. Brazil continues on its growth track, mainly decoupled from the otherwise relatively weak economic development. And Japan showed a strong increase from the relative low bases last year. Next, let's switch to the products. At Mercedes-Benz Cars, our product [indiscernible] continues to build momentum. In July, we launched the new S-Class in Europe and very recently, also in China and the United States. Customer feedback is outstanding and our order books are quickly filling up. The ramp-up continues as planned. The third quarter S-Class sales were 30% below last year and included 5,100 new models. In the fourth quarter, we expect the S-Class sales to increase and we will set the full sales contribution from the new model beginning of 2014. Our new compact class is another great success story, with a 90% increase in sales in the third quarter. We could sell even more but are currently restricted by production capacity. As a result of the success of our new compact car family, our product mix shifted to a higher portion of compact class, accounting for over 25% of total Mercedes-Benz passenger car sales last quarter compared to about 15% in 2012. Sales of our electric vehicles are also encouraging. Sales increased from around 1,000 electric vehicles in 2012 to 2,500 in just the first 9 months of 2013. Our electric smart is particularly successful, capturing a market share of over 40% in Germany. Next year, we will launch the electric B-Class, which you could see at the Frankfurt Auto Show. Another highlight in Frankfurt was our new compact SUV, the GLA. It is the first derivative of our compact class family and will be launched early next year. For me, a strong indicator that our new models are hitting the mark with customers is our climbing market share in the European markets. It's very encouraging. To sum up prospects for Mercedes-Benz cars, we plan to further increase our total unit sales to over EUR 1.4 million Mercedes-Benz cars this year. Next, let's turn to our commercial vehicle businesses. We have now completed all major product renewals and today, we have our strongest product lineup ever. All European markets -- all European trucks, come from -- come with Euro VI technology and with best-in-class fuel economy. In North America, our new Cascadia Evolution also underscores our fuel efficiency leadership by achieving a 7% improvement in fuel consumption versus its predecessor. Customers are also convinced. We have already received almost 20,000 orders. At our truck division, the market share development also proves that our new product offer what the customers need and they are willing to pay for the best total cost of ownership. Mercedes-Benz Vans renewed their flagship product with the new Sprinter, and Daimler Buses presented the new Setra TopClass 500. While our top line benefits from new product introductions, we continue our efficiency programs to ensure that growth from new products will also translate to higher profitability on our bottom line. As you know, in 2013, we aim to realize 30% of the targeted benefits of EUR 2 billion at Mercedes-Benz Cars and EUR 1.6 million at Daimler Trucks. The implementation of our efficiency initiatives is fully on track. In the first 3 quarters of the year, 70% of the planned cost savings have already been achieved at Mercedes-Benz passenger cars and 60% at Daimler trucks. In 2014, we will take another step forward and in 2015, we expect to realize the full benefits of the divisional programs. In addition to these measures, we are implementing structural improvements to our businesses and the system as a whole. In China, we had integrated our wholesale activities and expanded our dealer network to 295 outlets. These measures are starting to gain traction now. In the third quarter, wholesale increased by almost 40%, although the impact on our new products is still limited. Retail sales climbed by 28%. In September, we announced our Customer Dedication initiative. The goal here is a stronger focus on customers and markets as an additional element to advance our growth strategies. The divisions will be strengthened and will receive comprehensive responsibility to manage their business efficiently. The main benefit is that processes should become faster and more flexible. These changes will not be accrued [ph] overnight, but they will deliver improvements in the years to come. Summing up, the efficiency programs continued -- continue as planned. So what does that mean for the last quarter of this year? Demand for cars has, meanwhile, stabilized at a lower level in Western Europe and a gradual improvement of the market situation is to be anticipated in the rest of the year. However, the market environment will remain challenging. Although growth in the U.S. market will no longer be at the double-digit rates of recent years, new registrations will reach their highest level in 6 years at probably about 15.5 million cars and light trucks. Growth in the Chinese markets should be at a double-digit rate once again despite more moderate economic dynamism than last year. Additional sales growth will largely result from the success of our new family of compact cars, production volume of our new S-Class will increase per plan. Daimler trucks also anticipates challenging conditions to persist in Asia and several further emerging markets, as well as in the NAFTA region. In Europe, we see some pull forward in sales associated with the introduction of the Euro VI emission regulations, and we are carefully monitoring the development. To optimize our capacity utilization, we are currently allocating orders for Euro VI trucks to the first quarter 2014. Mercedes-Benz Vans expects to continue to deal with a challenging market environment in Western Europe. Daimler Buses will benefit from the recovery in the chassis business in Latin America. In the fourth quarter 2013, we expect to continue our good performance. Daimler group EBIT from ongoing business in the fourth quarter is expected to be above last year, based on our anticipation of the continued strong sales performance of our new models, benefits from the initiated efficiency measures, assumptions made for development in our key markets, less favorable currency exchange rates in connection with the US dollars, the Japanese yen and several emerging market currencies, and regular year-end effects. Looking at the full year, this means we expect a group EBIT from ongoing business of around EUR 7.5 billion based on the following divisional ongoing EBIT expectations: around EUR 4 billion at Mercedes-Benz passenger cars; around EUR 1.7 billion at Daimler Trucks; around EUR 0.6 billion at Mercedes-Benz Vans; EUR 0.1 billion at Daimler Buses; and around EUR 1.25 billion at Daimler Financial Services. For the optimization programs at Daimler trucks, we anticipate expenses of up to EUR 150 million this year. Industrial free cash flow in 2013 should reach more than EUR 2 billion. In the fourth quarter, we expect significant CapEx, a cash outflow of about EUR 650 million for our 12% participation in bike motors, restocking after the strike in South Africa and tax payments. Unchanged, we target maintaining a stable dividend for 2013, supported by the proceeds from the EADS transaction and earnings from ongoing business. In the coming years, we will continue to target a payout ratio of 40% of net profit attributable to shareholders. In closing, let's take a brief look beyond 2013. Profitability and EBIT in the second half of 2013 is providing us with a good starting point into 2014. In the following years, we expect to see an improvement in EBIT from ongoing business for all our automotive divisions, as well as for the group. We expect a stable development of earnings for Daimler Financial Services. And now we will be happy to take your questions. Thank you.
Björn Scheib: Thank you very much, Bodo. So now, ladies and gentlemen, you may now ask your questions. The operator will identify the questioner by name, but please first introduce yourself with your name and the name of the organization you're working for. Before you keep asking your questions, two critical [ph] points. First, please avoid using mobile phones and secondly, fully understood, please ask your question in English. Before we start, the operator will explain the procedures.
Operator: [Operator Instructions] The first question comes from Mr. Jochen Gehrke from Deutsche Bank.
Jochen Gehrke - Deutsche Bank AG, Research Division: Two quick questions. Just first of all, on your concrete outlook on the EUR 7.5 billion and the implied flat fourth quarter. Can you just help us, your bulged bracket thought processes, I guess, there's always a year-end booking effect on cost. But when we look at Mercedes S-Class ramp, shouldn't this be an unusually seasonal volumes being higher? And then on top of it, the Actros pre-pull forward effect on the truck side? Are these 2 offsetting each other, or is this rather conservative statement? And then secondly, maybe on cash flow, you said now, obviously, upgraded a bit your statements on larger than EUR 2 billion, how big is the CapEx burden going to be in the fourth quarter of the year? And when we look at working capital in the quarter, which definitely was not a drain, how much of a swing is there? Or are there any specific programs at Daimler that we should see for the years to come bringing working capital down as a percentage of sales?
Bodo K. Uebber: Jochen, thank you for your questions. I do think we have already outlined, of course, our expectations for the fourth quarter with our divisional guidance, which was EUR 4 billion for Mercedes-Benz cars and EUR 1.7 billion for trucks. The dynamics in cars are, of course, we will see some sales improvement compared to last year. Based on also on the S-Class developing, on the one hand, but also other seasonalities on the other hand. Positive would be also contributing our Fit for Leadership program, which was somewhat better in the third quarter. So it means, compared to the third quarter, we will not have lead the total amount, which we have achieved in the third quarter, so it will be somewhat less compared to the third quarter, but positively, of course, contributing. On top, we had some currency effects due to the U.S. dollar and the emerging markets, the yen, for example, which we also see in the fourth quarter. This is also impacting trucks, truck's profitability, in the fourth quarter. All the other topics are the regular year-end effects which we do have with some productions going down, so fixed cost coverage and other topics are stay as they were also in the last year. So that, in total, brings us to our total guidance in cars. In trucks, of course, the product mix is -- and regional mix is different in the fourth quarter. We have some more Asian business regional-wise, or we have NAFTA staying kind of flat, Brazil, somewhat down, Europe somewhat up, but of course, all of this mix of course, it's less favorable. We have, again, also the currency effects on emerging markets and the yen and the profitability of trucks and also the year-end production slowing down after Christmas, for example, which has a less good fixed cost coverage. All in all, that gives us the profitability in the fourth quarter. And on the other hand we have to see also that the third quarter was somewhat better than we expected, but that does not already mean that the fourth quarter can also be somewhat be overachieved compared to our internal plans. So that's for your first question. The second question with regard to CapEx and working capital. So from a free cash flow point of view, as I've already outlined, we have a strong free cash flow year-to-date with EUR 3.9 billion. But, of course, in the fourth quarter, we have to account for the bike investment on the one hand. We have also to see that some accounts payables, which we had a positive influence in the third quarter, are bouncing back in the fourth quarter, which is also kind of a burden in the fourth quarter. We have on top, the higher CapEx spending when you see our CapEx developing. We have some more CapEx in the fourth quarter depending on capitalization dates, for example, for C-Class, with also the payout date on the fourth quarter. So that is also, by far, higher than we have seen in the run rate in the first 3 quarters. And on top here, I also mentioned, the tax payments in the fourth quarter and the restocking in South Africa, which was a positive, contributing in the third quarter. All in all, fourth quarter should be negative in free cash flow but on the other hand, the positive news is that we are raising our expectations for the total year, which was, at the end of the second quarter, between EUR 1 million to EUR 2 billion. Now it's, for the total year, north of EUR 2 billion free cash flow industry. Your last question was with regard to cash flow programs or working capital programs. In Daimler, we have launched, with the Fit for Leadership in Daimler Trucks, number one, programs to look at the compression rate on the one hand, but also at the cash flow cycle between accounts payables and accounts receivable, and that is gaining traction in both divisions and makes us also better steal [ph] cash flow and unlocks some potential for the upcoming years.
Jochen Gehrke - Deutsche Bank AG, Research Division: Sorry for the very small follow-up. But S-Class peak run rate, when is that expected to be in terms of deliveries? Is that first or second quarter next year?
Bodo K. Uebber: It will be next year, second quarter, more second quarter than first quarter, but not fourth quarter this year.
Operator: The next question comes from Mr. Daniel Schwarz from Commerzbank.
Daniel Schwarz - Commerzbank AG, Research Division: Daniel Schwarz, Commerzbank. I have 2 questions. Also partly on the fourth quarter, in the other cost changes in the EBIT bridge, the cost burden for cars, that came down quite a bit in the third quarter. In the fourth quarter, that should run against easier comparisons, so will that be a positive year-on-year effect during the fourth quarter? And for the model mix, as you said, again a negative in the third quarter. Is it a trough quarter in Q4? And the derivatives from the small car family like GLA and CLA, is that a negative or is that a positive in the model mix?
Bodo K. Uebber: Thank you for your questions, Mr. Schwarz. The -- to your first question for the cost development, we have already outlined in the second quarter that the cost changes, other cost changes, which was, of course, by far, higher in the first half will be better in the second half. So I don't want to give a guidance now for the fourth quarter. It will develop as positive as in the third quarter, so to say, compared with the first half. And we had impact in the third quarter for some periodic items benefits from last year, but also the provisioning for this year, for example, for share-based compensation, and so on and so forth, was the main impact in the third quarter. So I'm optimistic for the fourth quarter, but not more precise guidance now for the fourth quarter than we have given in the EBIT. Your second question was, second question was?
Daniel Schwarz - Commerzbank AG, Research Division: On the model mix?
Bodo K. Uebber: On the model mix, in Trucks, I already commented. On the regional mix and product mix on cars, we expect a somewhat stronger mix. Of course, we will see also some more compact cars in the fourth quarter, but also S-Class will contribute, and that will make a better mix in the third quarter.
Daniel Schwarz - Commerzbank AG, Research Division: But a compact car like the CLA, is that a positive or a negative in the product mix overall?
Bodo K. Uebber: Compact cars, I would say, in total, is a negative too in the mix. So I do think we should not now discuss. We know -- you know that within the compact cars, we have different dynamics. So the CLA, for example, is a -- is price positioning-wise higher than the other cars, for example, and that should contribute a bit more. But overall, compact cars are, in mix, lower than E-Class, S-Class and C-Class and so on.
Operator: The next question comes from Mr. Jose Asumendi from JP Morgan.
Jose M. Asumendi - JP Morgan Chase & Co, Research Division: A couple of items please. First one on currency, I was wondering if you could please give us an update on how you're hedged across different currencies for next year? The second on discounts in China, [indiscernible] suggests you're doing an excellent work, reducing discounts in the market by introducing the grand edition of C-Class and E-Class. Could you give us an update on how much progress are you making in terms of reducing discounts in China? Have you -- have we seen the impact already on earnings? Or is this more a 2014 earnings story? And then finally, on the launch of the B-Class electric in the U.S. on the Tesla platform, or leveraging on Tesla, I was wondering if you could give us an update on how many units you plan to sell? If you can make any comments around the economics behind the vehicle? And if potentially, we could be thinking about a C-Class or even E-Class based on this platform maybe 2 years on the road?
Bodo K. Uebber: To your first question, hedging position. It has but not much changed compared to the second -- end of the second quarter. We are currently at roughly 55% for the dollar in 2014. North of 20% in 2015. This directionally is also true for the main currencies we have on board so means the pound, the yen and the other big currencies. In the emerging markets hedging is a little bit different, because the liquidity in these markets are not available. So you can't hedge fully or partially as big as we do it for long as we do it for the U.S. dollar. There, for the next years, we are more between 20% and 40%, for example. Of course, due to the emerging markets volatility we see also effects as we have seen it in the third quarter, with the EUR 80 million. So the dollar had really no impact in the third quarter. It was mainly coming from the yen and other emerging markets' currency. I expect in the fourth quarter same pattern as we have seen it in the third quarter. For the time being and for next year, as I said, so open [ph] position is 45%. And now we have to guess what the assumption is for the total year. Based on the current rate of 1.38 [ph] and based on the current hedging situation, which certainly will change over time until we are on January, February and certainly might change due to other volatilities we see in the market, the burden compared to 2013 would be, including also some emergers [ph] between EUR 400 million to EUR 500 million. You had another question. To discounts in China, I can just confirm what you said. C-Class, what we did with the grand edition introduction is try to contribute here with a positive transaction pricing, a positive, compared to the former -- before the introduction of the grand edition. So I just can confirm what you said. I'm happy with the development currently over the quarters and I see how we introduce here the new C-Class grand edition and the new E-Class is right -- is the right way to do it. And you will see, I do think now over the upcoming months, also further good news in terms of discounting. Good news, I mean, less and transaction price optimization. So that's the end of the question to the B-Class. Electric, we can't go into the details. We don't make forecasts now for -- we have already forecast, yes, but we don't comment on B-Class unit sales in the U.S. and other topics and also the current economics, sorry for that.
Operator: The next question comes from Mr. Fraser Hill from Bank of America.
Fraser Hill - BofA Merrill Lynch, Research Division: The first question I had is on trucks. I just wondered if you could try and put a number on this prebuy, just how much of that do you think is -- how much of your growth in truck orders, let's say, or an absolute number you think is categorized as a prebuy effect, maybe against your expectations before you came into this quarter? And I think just following on from that, you've obviously flagged slightly weak pricing. Could you give a little bit more detail as to why we're seeing still weak pricing, you think, across geographic markets in trucks, given that production levels and demand has obviously been a little bit better? Next question is back on the S-Class. You talked about the S-Class being, I think, 30% below Q3 levels last year. I presume that's a retail number. But what is your wholesale number, as in your sell-in number, year-on-year and how should we think about that over the next couple of quarters?
Bodo K. Uebber: So, Fraser, thank you for your questions. So of course the first question is a difficult one, as I've already pointed out. It's difficult to differentiate what is prebuy and what is not prebuy. I just -- you have seen our book-to-bill ratio in Germany, it's 160%. In Europe, it's 130% and, of course, there is some impact in -- we have, of course, a special situation in the U.K., for example, where the truck has to be produced until 30th of September to get registered as Euro V. Whereas, in Germany, it's different. You can produce until the end of the year. And the cap for -- 30% of a cap for the registrations in 2014, which could be compliant with Euro V, so that's 30% based on 2012 sales numbers. So based on that, the order intakes are developing in this direction. On the other hand, we are pretty successful with our Euro VI engine. We have currently, in our sales, we had 17% year-to-date is Euro VI share. In order intake, it's already north of 20%. So even there, it's better with Euro VI. And within the new Actros, for example, we are around 50% in sales of Euro VI and that shows us that we have a strong product. So if you take both of these arguments, of course, on the one hand, we have some. But on the other hand, we have also demand for new product which makes us, of course, a bit more optimistic for 2014 but we have to watch the prebuy effect. So finally, we will give you an update certainly in February about this dynamics. But as I said before, it's currently difficult to assess between these 2 elements in the market. So your next question was about S-Class, of course, we have given you the retail numbers and I should -- think you should stay there with the retail numbers. So I'm -- retail is okay that we communicate it, but we can't provide you here with wholesale details and all that stuff. Maybe you follow that up with Investor Relations. But we stay with the retail numbers for disclosure. And your last question was about...
Fraser Hill - BofA Merrill Lynch, Research Division: Truck pricing.
Bodo K. Uebber: Pricing, in trucks or Cars, sorry?
Fraser Hill - BofA Merrill Lynch, Research Division: In trucks.
Bodo K. Uebber: In trucks, it's stays competitive. In Europe and in Brazil, of course, these 2 markets are pretty competitive currently and might stay so, and we expect, even while there's a little bit of an uncertainty, of course, we are the first with Euro VI in the market. We are followed by the others. Of course, it is a question mark for 2014. We are optimistic with our trucks that we stay course, of course. But again, next year, everybody has the Euro VI out and products and we will see how the environment will develop in. But the major markets which are currently under pressure, so to say, but not year-over-year, but it's Brazil for a longer period of time now and Europe too. In the NAFTA, of course, we are -- we stay -- it's okay, based also on the strong product. I mentioned the Cascadia and also the fuel efficiency. We could achieve our market shares outstanding without being, so to say, we are challenged, of course, by pricing but we stay close here in the NAFTA based on the strong product. And in Japan, of course, there's seasonality in pricing, sometimes more somewhat less. So that's a -- it's our current view on trucks.
Fraser Hill - BofA Merrill Lynch, Research Division: So if I could just jump in with one final follow-up, actually. On your cash flow statement, I think, I've talked about this before, but in your cash from operating activities, just the line, other operating assets and liabilities, which is very positive for the year, EUR 844 million. Could you just give us a bit of color as to what's driving that line with the new cash flow? How do we think about that going forward?
Bodo K. Uebber: You know somebody tries now to give me a text and that I repeat it, but please follow up it with the Investor Relations. So before I give you here something which I have not read before. So please follow it up with Investor Relations.
Operator: The next question comes from Mr. Horst Schneider from HSBC.
Horst Schneider - HSBC, Research Division: Horst Schneider from HSBC. First question is a follow-up on pricing, but this time on cars. I would be glad if you could quantify, if and to which extent pricing has improved for cars sequentially, but also year-on-year. So what I want to learn basically is to which extent in your models already has the pricing now, especially having the mindset that in your E-Class is for sale for some months. Then again coming back to China and the joint venture, I see that the profitability of the China joint venture has declined. I want to know when will that precisely turn around? And should we expect now for the full year also that the joint venture profitability in China will be below last year? And the last 1 is just a housekeeping issue, it's regarding provisions for product warranties. I have seen that yes, they had also declined and I would like to know if that is now a trend that we can also expect for the next few quarters.
Bodo K. Uebber: Of course, I've communicated, the net pricing as a positive, but we do not quantify these elements. I expect further positive developments also in the fourth quarter and also, next year based on our -- mainly based on our new products, renewed products but also new products in new segments. In China, the profitability of the JVs, you are looking at, of course, quarterly developments, which can again go up and down, but certainly for example, E-Class launch and other stuff, which certainly impacts also our JV. What you see here in the JV section, you have seen BBAC, but, of course, that is not the full picture. We have also our wholesale company in China. So the total picture in China is again according to plan, and the profitability is also increasing by sales increases we have now to China and in retail and wholesale. Guarantees has declined. You are right. There are good news, of course. Over the last 5 to 7 years, we were able to reduce the rate per unit for warranty and goodwill substantially. So when we started that, to do our program, now we have the benefits of all the programs and that is of course all the divisions, a positive trend. Once in a while, of course, you have a topic within that trends, which you have to provision for, and that was in trucks which we had in Asia this quarter and there we made a provision for. But other than this, we are using the guarantees, but there's no release of provisions in the guarantees. It's according to a good trend we have in the warranty and goodwill element.
Horst Schneider - HSBC, Research Division: Okay. Maybe again on pricing. I'll try it another way, especially focusing on the E-Class. Would you say that the E-Class, or for you, the E-Class pricing, with the launch of the new model has substantially improved or just improved?
Bodo K. Uebber: We try to substantially improve the transaction pricing.
Operator: The next question comes from Mr. Philippe Houchois from UBS.
Philippe Houchois - UBS Investment Bank, Research Division: Yes, Philippe Houchois, UBS. Just 2 questions, following up on the previous one. When do you think this equity line in Mercedes is going to turn positive in China? Is that something for early next year or is it further into the year, the time horizon? And my other question is on the -- would you be able to disclose, in your current order book in trucks in Europe right now, what is the split of Euro V and Euro VI engines in your order book, to give us a sense of what it means for production next year?
Bodo K. Uebber: Mr. Houchois, the first question you had, it's positive. So in the third quarter in our disclosure I think you will see that it was positive with EUR 11 million. In BBAC, you will find that on Page 39 of our interim report. And your second question was with regard to order intake, you asked for the Euro VI share of order intake. It was year-to-date, in Europe 22%. Yes, 22%.
Philippe Houchois - UBS Investment Bank, Research Division: So 80% Euro V, 20% Euro VI broadly, okay.
Bodo K. Uebber: No, it's Euro VI, 22%.
Operator: The next question comes from Mr. Philip Watkins from Citi.
Philip Watkins - Citigroup Inc, Research Division: It's Philip Watkins from Citi. I just had 2 left. I was looking at the capitalized -- how you're capitalizing R&D and I can see the trend is for lower, the capitalization. I was wondering if that's something that can continue into next year. And my second question actually is on cash flow. I've seen that, in one of your peers has talked about Financial Services needing a little bit more capital in light of Basel III. How do you feel about your Financial Services capitalization? Do they need any more equity?
Bodo K. Uebber: Mr. Watkins, as of today, of course, we are capitalizing R&D according to our standards. We have, in our accounting, and that means with specification, we start to capitalize R&D that what's true for all -- for all our product we are developing. We are currently, you see, that we have -- directionally, a very low capitalization rate for trucks because there is no development in trucks, so therefore the capitalization rate is pretty low. Was, in Benz, it's now between 20% and 30%. Currently, and in cars, I do think between 25% and 30%, currently. So that is directionally, and that makes, that in average, the capitalization rate we do have disclosed in the third quarter. Your second question with the cash flow financial services. We have currently an equity ratio of 7.5%. Directionally, this quarter, we have increased it from 7% to 7.5%, to cope also with some regulations, which you are mentioning. We have currently increased the equity in the Mercedes-Benz banks due to this need, and I expect it to be increased in the next couple of years, towards 8%. When and how we have to discuss and that, of course, depends certainly, on the regulations and the dates when they roll in, and that we will, of course, optimize.
Operator: The next question comes from Mr. Michael Tyndall from Barclays.
Michael John Tyndall - Barclays Capital, Research Division: It's Mike Tyndall from Barclays. Three questions, if I may. The first one, just on Chinese dealers. If I heard you correctly, you said 2 9 5, so that would be a 16 increase from midyear, which would take the year-to-date tally to about 36 incremental. And if I'm not wrong, your target was 75. So I just wondered if you can give me a bit of background as to whether or not Q4 is going to be very, very active, or maybe that we're actually running a bit slower than we had hoped in China, in terms of the dealer rollout? The second question for me, just in relation to -- you mentioned something about Fit for Leadership savings dropping versus Q3, some of the ones that you had in Q3 wouldn't be held in Q4. I just wondered if you could give me some color on that. And then finally, just on Euro V, I'm wondering whether or not you've got any build slots yet left rather for Euro V in Q4? Or whether in fact, you're actually fully booked now for Q4?
Bodo K. Uebber: We are developing according to plan with the dealerships. We had in mind to open up 75. We have roughly opened up, until the end of the Q3, 50%, all of these numbers, and the remaining dealerships will be opened up in the fourth quarter. So we are staying closer with our plan. There's no change since we have announced our target in February. You had another question, to the Euro V. In Q4, we are fully booked, so we can't take any order, so to say for production in Euro, in Q4, Euro V. The current order intake in Q3 for Euro VI is 62%. Yes? Okay. That to your questions.
Michael John Tyndall - Barclays Capital, Research Division: Yes, sorry. There was a -- just a last one, which you mentioned, I think, in an earlier question, something about the Fit for Leadership savings. The, I guess, the guidance towards a flat EBIT in Q4. You were mentioning that some of the savings you'd seen in Q3 wouldn't necessarily be held in Q4. Did I hear that correctly?
Bodo K. Uebber: So we have Fit for Leadership impact, all of our program in the third quarter and first -- in the fourth quarter, what I mentioned. We are currently at 70% year-to-date, and the remaining piece we target for the fourth quarter.
Operator: The next question comes from Mr. Arndt Ellinghorst from ISI Group.
Arndt Alexander Ellinghorst - ISI Group Inc., Research Division: It's Arndt Ellinghorst from ISI Group. Two quick ones from us. The first 1 is on efficiency gains next year versus additional content cost. You've shown this chart a couple of years ago in Hungary, about the run rate of costs and efficiency gains. Could you update us whether you're expecting more gains than headwinds next year at Mercedes from Fit for Leadership next year? And the other question I had was, in Woerth at the Truck Division Day. It was suggested that European truck profitability should be higher next year versus this year. Is this something that you're still expecting?
Bodo K. Uebber: With the Fit for Leadership program, we have targeted that we have a net 0, positive net 0 from material costs. Headwinds on the one hand, but also efficiencies on the other hand. And so we are successful in that during the course of the year. We had in the third quarter the first positive and in more efficiencies than headwinds, and that's what further developed now into 2014 and '15. Should -- of course, I mentioned also in the beginning of my introduction that the next year, expect a profit increase in 2014 for the division space on the current market assumptions, of course, we have seen, it's pretty volatile. And, of course, we are working also on profitability. We will update you, of course, in February about the outlook, about the situation.
Arndt Alexander Ellinghorst - ISI Group Inc., Research Division: But we can assume a positive net contribution from Fit for Leadership. And is that -- How should we think about this? Is this like a EUR 1 billion positive? Is it EUR 500 million positive? Just conceptual...
Bodo K. Uebber: We will update you more precisely next year in February. As we pointed out for this year, we are targeting 30% out of the whole program, and the final target is in trucks, EUR 1.6 billion and in cars, EUR 2 billion. And that we will achieve, we will achieve at the run rate in 2015, and another major piece in 2014, but we will not now come up with a precise percentage. Wait on the February discussion and that we will update you on the programs.
Arndt Alexander Ellinghorst - ISI Group Inc., Research Division: Okay. And then on trucks, profitability in Europe, next year?
Bodo K. Uebber: Profitability, of course, we do not know any guidance on regions. Stay with my message, as we start to improve also next year's EBIT and profitability for all of the divisions and that is for the time being. The direction and other details in February.
Arndt Alexander Ellinghorst - ISI Group Inc., Research Division: Okay. But, sorry to ask again, but you're confirming earnings up and margins up in every division next year.
Bodo K. Uebber: In February, we talk about it.
Operator: The next person comes from Ms. Laura Lembke from Morgan Stanley.
Laura I. Lembke - Morgan Stanley, Research Division: Laura Lembke from Morgan Stanley. And 3 I've got, and the first one is, you had a pretty good reception on the S-Class. So I was just wondering what is your technical capacity for S-Class production, if you also include potential overtime work? And also, can you maybe give us a bit of color on what the source of these orders is? So where is this actually coming from? Is it mainly China, Europe, U.S.? So any color here would be appreciated. Then secondly, on North American trucks, I was noticing that your order intake is actually holding up quite well. But some of your customers and what we've seen in the Q3 reporting season so far in the U.S., actually talking about a reduction of their fleet sizes, going forward. So I'm just wondering if you are seeing any of that or what is really driving the strength here on your side? And then lastly, just a bookkeeping question, can you help us a little bit with your tax rate for 2013?
Bodo K. Uebber: Ms. Lembke, to your question, of course, with the S-Class, I can't tell you the capacity, that is competitive data. So please accept that we are -- can't tell you something. Of course, our [indiscernible] and order takes are coming from, on the 1 hand, our retail business here, and in our own retail business on the one hand, it's also based, first numbers on Europe. But on the other hand also, orders we take from our dealers and for our market performance centers across the world so to say, and that is including China and other European markets and also overseas markets. So I don't want to go into details what percentage here from each market comes. You have to follow-up here with Investor Relations, so I don't have the percentages of the different regions. And secondly, you had to order intakes question, which I don't get, really. Some question actually in -- can you give us a more precise question to your order intake question, please?
Laura I. Lembke - Morgan Stanley, Research Division: Yes, no, what I was saying, I said your orders in the U.S. are holding up very well, but some of the customers, basically the trucking companies in the Q3 reporting season are actually talking about a reduction in their fleet sizes. So they're basically downsizing their fleets. So I was just wondering if you, in your negotiations with customers, are hearing anything about this, or what the sources of your strength, or let say's the resilience in your orders.
Bodo K. Uebber: Of course, what you can't clearly see here is our 38% market share. We have increased it by a couple of percentages, and we have a very strong product. So we are against the market trend if you might say so, gaining order intakes in NAFTA. And of course, we discussed it in the Division Day, that there's further work to be done to keep that advantage with regard to more technical developments in the engine, on the fuel efficiency side, so we are doing more and more to keep that difference. And the difference is, of course, total cost of ownership and that is fuel consumption, and we are working on more measures to improve it, because competition is not sleeping. So again, we are very happy with our current stand in NAFTA, in the product side. Tax rates. We have -- our tax rates, currently disclose of, currently at 8%. I do think this is closer in the third quarter that was -- and we had normally, a tax rate between 30% and 31%. So the difference more, and that comes from extraordinary issues and a disregard in the third quarter it was due to tax assessments of prior years. And in the second quarter, you have seen the impact on the EADS, pretty low tax rate, we have a similar effect both coming from EADS gains on the sale of the state.
Laura I. Lembke - Morgan Stanley, Research Division: But could you help us a little bit with Q4? I mean, should we expect again a very low tax rate, or are you done with all the, can I say, provision releases on the tax side? I mean, should we be basically expect something like a 25% to 30% here? Or will it be some completely different figure?
Bodo K. Uebber: Maybe I help you with the total year number. For the total year, we expect somewhat lower than 15%.
Operator: The next question comes from Mr. Charles Winston from Redburn Partners.
Charles Winston - Redburn Partners LLP, Research Division: Charles Winston from Redburn. Just -- I'd like to go back to the topic of pricing Mercedes, if you don't mind. From what I can understand, the bulk of the pressures that we're seeing are mainly in Europe. Whereas, a number of the mass market players in Europe are talking about fairly stable pricing. I was just wondering if you could touch on why you think the pricing, at your end of the market, the premium end of the market, seems to be remaining under a bit of pressure. Certainly, if you speak to some of your competitors, that's what they would claim. And when you think that perhaps might stabilize as we've seen at the mass end of the market. And then just sort of going on from that, the price versus added content debate, in other words, all the added content you guys had to put in, you've not been able to recover that in price so far. Do you think they'll reach a point, at some point in the next year or 2, where pricing might be sufficiently high or content increases sufficiently low? Where you might actually be able to cover content cost with price? Is that something you think is possible in the next year or 2?
Bodo K. Uebber: To your first question, I already commented on this, environment in Europe is pretty competitive. That was my statement. And within that environment, we could achieve a net -- a positive net pricing in the third quarter, based mainly on our new products like new E-Class and the compact cars having launched into Europe. But the market as such stays competitive.
Charles Winston - Redburn Partners LLP, Research Division: So it just concerns that your pricing in Europe, with your new products, is actually positive?
Bodo K. Uebber: Yes, year-over-year, third quarter to last year, yes. And then your question -- the second question was, yes, of course the answer there is, yes of course, our pricing might be sufficiently to help to cover all content sufficiently. Yes, the answer is yes.
Charles Winston - Redburn Partners LLP, Research Division: Could you give me an idea when that's likely to be? I mean, clearly, it hasn't happened for the past 2 to 3 years? So I was just wondering, are we talking sort of imminent next couple of quarters?
Bodo K. Uebber: Consistent with the new product.
Operator: Your next question comes from Mr. Frank Biller from LBBW.
Frank Biller - Landesbank Baden-Wurttemberg, Research Division: Frank Biller from LBBW. It's 3 quick questions. The one is on the effects in France. Have there been any effects in France of this dispute about the restrictions here? And second is on the truck side, here. There, we have seen some adjustments of headcount costs in the third quarter, more to follow on the fourth, roughly in the range of EUR 50 million. I think you mentioned that during the call of journalist. Will we see additional restructuring charges in 2014, or is that a done deal? And the last question is on EADS derivative effect here. As I noticed, here's some sort of a hedging position with the amount of about 8 million shares, and I would have expected an impact of roughly EUR 48 million in your accounts in the financial position. If this then, the EUR 13 million in the EBIT line, what you get as an impact here? Or what's the mathematics behind that?
Bodo K. Uebber: I'll come back to your question at France. Of course, we have recovered some sales, which we -- shortfall, which we had in the second quarter, we could recover in the third quarter. Your second question is right. We have disclosed that we need up to EUR 150 billion for charges, for restructuring, for trucks for Europe and Latin America. And the remaining piece, you will see in the fourth quarter, which is roughly, I do think your number. And your last question was the EADS. We had -- when we made the transaction, and I think you mean this topic, that we had -- part of that we made an option structure, and we are benefiting from a higher share price of EADS from the time when we sold the share until today, and this impact we have disclosed to you that the EUR 8 million in the third quarter of EUR 13 million. And on the cash flow side, it's a bit higher.
Frank Biller - Landesbank Baden-Wurttemberg, Research Division: And there's no risk of losing that again in the fourth quarter?
Bodo K. Uebber: There is no risk of losing that piece, and of course we have another 2 months to go, there's a, maybe same amounts or not big, but the same amount. Also in the fourth quarter, and the share price of EADS is so high, that I don't see the risk that it comes under this -- the level of which we have for the auction.
Frank Biller - Landesbank Baden-Wurttemberg, Research Division: So a stable share price would lead to another EUR 13 million positive here?
Bodo K. Uebber: Only cash flow, the cash flow pieces, same amount.
Frank Biller - Landesbank Baden-Wurttemberg, Research Division: And from the EBIT line? Nothing there?
Bodo K. Uebber: Almost nothing.
Operator: The next question comes from Mr. Christian Ludwig from Bankhaus Lampe.
Christian Ludwig - Bankhaus Lampe KG, Research Division: Yes. Christian Ludwig from Bankhaus Lampe. Also, a follow-up question, basically on something you said during the current market [ph] day of the Trucks division. You were showing us that in trucks, you basically reached the peak of your CapEx and the R&D cycle, that we should see some lower charters going forward. Will that be enough that we should also see at least a flat CapEx in R&D level for the group next year, or will investment in cars still drive growth there?
Bodo K. Uebber: I say this also, this year we will go down with CapEx in trucks, and we will stay on very high levels in cars, and we will update you in February on our, of this [ph] plan. We are just currently reviewing the numbers.
Björn Scheib: Okay. So ladies and gentlemen, thank you so much for the questions, and thank you very much for being with us today and on this call on the Internet. Investor Relations remains at your disposal to answer any of the open or detailed questions that couldn't be raised over here. So we hope to talk to you soon, and have a nice afternoon or if you call from any other region of the world, nice afternoon or nice morning. Thank you, bye-bye.